Operator: Thank you for standing by and welcome to the iQIYI First Quarter 2023 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to Chang You. Please go ahead.
Chang You: Thank you, operator. Hello, everyone and thank you for joining iQIYI first quarter 2023 earnings conference call. The Company's results were released earlier today and are available on the Company's Investor Relations website at ir.iqiyi.com. On the call today are Mr. Yu Gong, our Founder, Director and CEO; Mr. Jun Wang, our CFO; Mr. Xiaohui Wang, our CCO Chief Content Officer; Mr. Wenfeng Liu, our CTO Chief Technology Officer; and Mr. Youqiao Duan, Senior Vice President of our membership business. Mr. Gong will give a brief overview of the Company's’ business operations and highlights, followed by Jun, who will go through the financials. After the prepared remarks, Xiaohui, Wenfeng and Youqiao will join Mr. Gong and Jun in the Q&A session. Before we proceed, please note that the discussion today will contain forward-looking statements, made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include but are not limited to, those outlined in our public filings with the SEC. iQIYI does not undertake any obligation to update any forward-looking statement except as required under applicable law. With that, I will now turn the call over to Mr. Gong. Please go ahead.
Yu Gong: Hello everyone. We started 2023 with an exceptionally strong first quarter, entering a new chapter of high-quality growth. Our content flywheel once again demonstrated its power. The exceptional iQIYI originals drove financial performance and market share reaching new highs. To be specific: iQIYI maintained its dominant leading position in dramas, reaching new high in market share. Our long-standing original content strategy bore fruit once again. The Knockout became the best-performing drama in our history. In Q1, original content continued to be the main driver of new releases and revenue performance and further enforced the brand perception that “iQIYI is the blockbuster powerhouse” and significantly improved subscriber stickiness. Both total revenues and membership services revenue hit quarterly all-time highs. Total revenues recorded double-digit growth both annually and sequentially. In particular, the core membership services revenue reached new high, up 24% annually and 17% sequentially. High-quality original content drove robust growth in subscriber base. In Q1, the average daily number of total subscribing members approached 129 million, a quarterly net addition of over 17 million. This marks the second consecutive quarter with quarterly net addition of over 10 million. As of March 31, the number of subscribing members was 120 million which reflects the usual seasonality following the Chinese New Year and is our best-ever end-of-Q1 performance. Non-GAAP operating income exceeded RMB1 billion in Q1, expanding for the sixth consecutive quarter. More importantly, free cash flow also exceeded RMB1 billion this quarter, a critical milestone as we steadily become more self-sustaining. As we mentioned last quarter, we believe these recent solid results are just the start of a phase of high-quality growth. In Q1, we witnessed the power of premium long-form video and its strong appeal to users. Our ability to produce and deliver highly quality popular original content is our core competence which is difficult to surpass in the short term. We will continue to evolve to secure our industry-leading position in the long run. Currently, our businesses can be classified into three stages: core, growth and early stage. Our core businesses include membership services, online advertising services, content distribution, IP licensing, etc. Our growth businesses include iQIYI Lite and Suike. Our early-stage businesses include our overseas business and cloud cinema business. Now let's’ go through the performance of our business segments in detail, starting with membership services. Both membership services revenue and the number of subscribers hit record highs in Q1. Membership services revenue surpassed RMB5.5 billion, up 24% annually and 17% sequentially. The average daily number of subscribing members reached 128.9 million in Q1, a sequential net addition of over 17 million, marking the second consecutive quarter with a net addition of over 10 million. ARM was RMB14.3 in Q1, up 1% sequentially. I'd like to reiterate that the goal of our membership business is maximizing user experience and in return strengthen and optimize our financial performance. The economics of our membership business are driven by three factors namely, subscriber base, subscriber lifetime and ARM. We take dynamic and balanced approach to our membership business based on many factors, including content supply, user demand and the market environment. This allows us to drive continuous improvements in both membership revenue and user experience. The above-mentioned strategy has helped us built stronger, longer and broader relationships with our users. We saw further optimization of our membership structure and stronger user engagement in Q1. The proportion of annual subscribers increased significantly year-over-year, while the lifetime value and long-term retention rates also improved. In addition, our membership products reached even broader user cohorts in Q1. We saw strong growth from both subscribers with large-screen privilege and iQIYI Lite’s ad-supported basic subscription package which targets differentiated user demographics. So what drove the strong growth in Q1? First, the diversified premium content we released drove new subscribers and improved user retention. Among the strong content offerings, The Knockout broke a number of records and is the best performing drama which generated the highest membership revenue during the new release window. In addition, dramas such as Unchained Love Homesick, Every Day and Night, Under the Microscope and Road Home were all well-received by users. Second, we continued to refine our membership business operations, increasing members’ value perception with enhanced benefits. For example, we improved subscriber’s conversion and monetization efficiency through sophisticated user analysis, content- and scenario-based marketing initiatives and in-depth research into user growth strategies. In addition, we upgraded our membership center, introducing various high-quality benefits which drove a significant increase in member benefit consumption in Q1. Looking forward to 2023, we will continue to focus on driving high-quality growth and to pursue further growth in revenue, subscribers and ARM. Moving on to Content. During the quarter, our content methodology remained highly effective and our brand image as “a diversified and high-quality premium content powerhouse” reached new heights. Not only our market share for dramas reached new high, we remained number 1 in terms of effective video views for both overall dramas and exclusive dramas categories for the fifth consecutive quarter. Original content continued to account for the majority of drama supply and revenue. Original content accounted for 70% of the key dramas we released in Q1, the highest in our history. The revenue contribution ratio of original content also reached new high. As the best-performing drama in iQIYI history, The Knockout was a true mega hit that broke records across multiple key metrics and generated phenomenal social buzz. Meanwhile, iQIYI originals have become a major source of content supply for domestic TV networks, including CCTV and provincial satellite channels with whom we have built long-term partnerships. We are the clear industry-leader in this area. In Q1 alone, we distributed around 20 premium dramas to CCTV and provincial satellite TV stations including The Knockout, Every Day and Night and Miles to Go. Both the volume and revenue of distributed content reached record highs. The Knockout also became the highest rated show of the past three years on the major domestic drama channel CCTV-8. As an online media entertainment service provider, our goal is to systematically increase the hit ratio of our premium content. Our long-term commitment to original content enabled us with structural advantage in the industry. Through the years, we have successfully built three strong pillars that support our premium content offerings, namely optimized content production mechanism, strong operating and technical capabilities and top talents. These capabilities will empower us to steadily grow the volume of high-quality content to further enrich our premium content offerings. For content production, we largely improved our industrialized video content production capability through our sophisticated content management mechanism and content production tools. We believe these create effective competitive barriers that are difficult for others to exceed. For content management mechanism, we have established an efficient and comprehensive mechanism running through the full process from project incubation to assessment, production, promotion, operation and distribution. For content production tools, we built in-house developed systems to support industrialized video production based on AI, big data and cloud computing. Through these methods, we can further improve our content production and operational efficiency and set a new standard for the Chinese video industry. With respect to industry talent, we have a compelling creator culture and a talent cultivation mechanism that's’ highly valued and appreciated by our in-house talents and industry content partners. Our approach is reflected in two aspects: first, in addition to providing competitive economic incentives, we give creators sufficient freedom, letting them to take initiative and unlock their creativity within our disciplined framework. Second, we have always been committed to encouraging fresh young talents. In addition to work with well-known and experienced creators, we also nurture young and emerging talents and help them develop their potential. In 2023, we will continue to launch diversified content across all genres. For dramas in Q2, Echo [Foreign Language] directed by famous Chinese director Feng Xiaogang, Thirteen Years [Foreign Language] under our Mist Theater and The Ingenious One [Foreign Language] have Generated sound word of mouth. Also starting from Q2, a number of key costume dramas will be released, including Story of Kunning Palace [Foreign Language], The Lotus Casebook [Foreign Language], Destined [Foreign Language] and Love You Seven Times [Foreign Language]. A diverse lineup of dramas in other categories will also be released. A number of original variety shows will also be launched in Q2, including both returning seasons of hit shows and the debut of new titles. In addition to the already-aired Believe in the Land, HAHAHAHAHA 3 [Foreign Language], Yes, I Do [Foreign Language], The Detectives' Adventures 3. Please also anticipate the launch of our flagship titles such as The Rap of China 2023. Looking ahead, we plan to increase our investment in variety shows in step with the gradual recovery of the advertising market. For Q2, please also anticipate to see new releases in other categories including original children cartoon Tuktak Man 7 and The Roofus and original animations The Guardian Legend and Are You OK? 2. Moving on to Advertising. We are pleased to see that advertising revenue reached RMB1.4 billion in Q1, up 5% year-over-year. For performance ad, revenue grew 75% annually and its revenue contribution reached new quarterly high. We successfully acquired a higher share of advertising budgets from key industries including internet services, e-commerce and games and made full use of ad slots to effectively improve monetization. In addition, we optimized our algorithms to strengthen user targeting and improve ad effectiveness. For brand ad, Q1 was soft due to typical seasonality. The year-over-year decline was due to the relative high base in Q1 last year and the ad market back then was not impacted by the pandemic lockdown in Shanghai which is the main hub for the domestic advertising market. Despite that, we observed growing preference among advertisers driven by our premium drama, variety shows and diversified ad product. And the launch of a number of variety shows in Q2 would likely to drive the recovery of the brand ad business. We are cautiously optimistic towards the overall brand advertising market this year. Consumption is still recovering in the first half of this year and we expect to see further recoveries in the second half. Overall, we are positive about the long-term development of the brand ad market. Meanwhile, iQIYI’s brand influence and user base are highly valued by advertisers. In terms of ad sectors, we are optimistic about the FMCG sector which includes food and beverage, travel, domestic, cosmetic brands, smart home appliances and healthcare. Moving on to Technology & Products. Technical innovation is one of our core values and is critical in driving video industrialization and improve content production efficiency. For virtual production, the technology has been applied in two of our key original dramas. Films sets that adopted this technology saw efficiency improvement by over 30% and reduced the required crew members by one-third. The iQIYI Video Production Management System is a data-driven and highly efficient decision-making system that captures every critical moment in the entire content production process. For example, the system can complete AI-powered revenue projection in just a few minutes. It can also generate estimated content-related cost ratio, a key measure that we use in our original content’s decision-making and efficiency monitoring process. Management can utilize these tools to monitor production progress, ROI and use of funds and manage the overall production in real-time. We continuously optimize our products with the aim of bringing the ultimate entertainment experience to every user. iQIYI APP was honored by the Ministry of Industry and Information Technology for providing user friendly access tailored for elderly and disabled. We also upgraded iQIYI’s semantic search capability to better understand users’ search intentions. The “search by character” feature launched in Q1 helps users quickly find videos based on characters, providing a highly efficient way to search for videos. We are actively exploring how generative AI applications, built upon Large Language Model (LLM), can improve content production and promotion efficiency in the long-form video industry. Our internal assessment indicates that generative AI technology can be implemented in multiple business scenarios, including streamlining script brainstorming, creation and review processes. We have initiated the integration of generative AI technologies into our intelligent production systems and we expect that the resulting LLM-empowered intelligent production systems will achieve higher performance and better outcomes. By combining LLM applications with computer vision and audio models, we can gain deeper insights into video content, resulting in significantly improved quality and production efficiency of promotional images and videos for use in advertising and content marketing. Text-to-image and text-to-video applications are also valuable tools for generating pre-visualization during production preparation and for use in comic and animation production processes. Next, I’d like to discuss the progress of iQIYI Lite and our overseas business. In Q1, iQIYI Lite maintained high-quality growth and once again recorded operating profits. For the ad-supported basic subscription package, the number of subscribers grew by over 70% sequentially and revenue grew by over 80% sequentially. For the overseas business, driven by the outstanding performance of premium content, the membership revenue achieved solid growth in the quarter. The membership revenue growth rate exceeded 90% annually in regions including the U.S., Hong Kong, Japan and Mexico. The influence of original Chinese dramas continued to grow, with revenue growth of 54% annually. The Knockout topped viewership rankings in multiple markets in Southeast Asia and North America, generating outstanding word of mouth and huge social buzz. Heading into Q2, we have a solid pipeline of premium titles, including key costume dramas and original Chinese dramas which would drive the growth in both subscriber number and revenues. In Summary, Q1 represents our solid first step into the new stage of high-quality growth. After 13 years of development, our industry leading brand influence is deeply embedded in the mindsets of users and industry peers. We are confident about the future prospects of the industry. And as a market leader, our business has strong resilience and promising growth potential. We treasure the trust and support of our stakeholders and we will keep pushing ourselves to unleash more potential and achieve high quality growth over the long term. Now, let me pass on to Jun to go through our financial performance.
Jun Wang: Thanks Mr. Gong. And hello, everyone. Q1 was another record-setting quarter for us. We achieved historical highs across all key aspects. Not only we achieved all-time high in total revenues and membership services revenue, we also further improved our profitability, cash flow and balance sheet. The exceptional Q1 result was once again driven by the success of our original content strategy. To be more specific, we booked RMB8.3 billion in total revenues, hitting quarterly all-time high, up 15% annually and 10% sequentially. Membership services revenue continued to serve as the biggest growth driver, with revenue exceeding RMB5.5 billion, up 24% annually and 17% sequentially. Meanwhile, our advertising revenue and content distribution revenue up by 5% and 16% respectively on annual basis. Moving on to the cost and expenses, our cost of revenues increased by 10% sequentially, among which content cost increased by 7% sequentially. We launched more diversified premium original content in the first quarter as Q1 is a typical high season with Chinese New Year holidays. Total operating expenses increased both annually and sequentially, mainly due to the increase in SG&A expenses. We devoted more resources in marketing as we believe this could amplify our content influence, increase user penetration and enhance the strong momentum generated by the slate of our original content. For Q1, we continued to strengthen our profit and cash flow generating capability. Non GAAP operating income exceeded RMB1 billion, expanding for the sixth consecutive Quarter. More importantly, free cash flow also exceeded RMB1 billion. In Q1, we raised approximately US$1.1 billion through follow-on and convertible notes offerings. We also repurchased approximately US$340 million principal amount of the convertible notes due 2026. As of the end of Q1, the company had cash, cash equivalents, restricted cash, short-term investments and long-term restricted cash included in prepayments and other assets of RMB6.3 billion. This RMB6.3 billion cash balance does not include the payment of around US$1.2 billion to the paying agent to meet the Company's’ to repurchase obligation on April 1, 2023 for the convertible notes due 2025 which was classified as “prepayments and other assets” on balance sheet. The repurchase has been completed in April 2023. To conclude, the first quarter results demonstrated the success of our high-quality growth strategy. We will continue to focus on execution and are confident in our ability to generate more value for our stakeholders in the long run. For detailed financial data for first quarter, please refer to our press release on our IR website. I will now open the floor for Q&A.
Operator:
Operator: [Operator Instructions] Your first question comes from Xueqing Zhang from CICC.
Xueqing Zhang: I now will translate myself. Congratulations to results. My question is related to content and content costs. What's the trend of company investment for this year and in the longer term? And what the level of this year's production compared to previous years. Also regarding to on the income statement. How does management think about the growth rate of this year and in the future. I'll ask could management share with us the highlights of the pipeline this year.
Yu Gong: I would like to invite our CCO, Xiaohui, to answer the content related question.
Xiaohui Wang: For this year and over the next ones overall content costs will remain stable with marginal increase. And in the long run, we will maintain a reasonable content launch schedule and also a relatively stable content cost level. Secondly, we'll continue to invest in the high-quality original content, the numbers and portion of high-quality original content will increase in the future. Compared with last year, the number of titles going into production this year will also increase in order to meet the demand of head premium content inventory and the launch schedule. For dramas, starting from Q2, we will start to launch this year's key costume dramas, including, for example, Story of Kunning Palace, Destined, The Lotus Casebook, Love You Seven Times and etcetera. We will also launch modern dramas, including Bright Eyes In the Dark, We Are Criminals Police, Imperfect Victim, Hello Life and etcetera. For our variety shows, Q2 will mark a strong return of original variety shows, including both returning seasons of hit shows and debut of new titles. Investors may refer to the detailed content headline list, which was released last week during our iQIYI World Conference for more detail. Thank you.
Jun Wang: I will add on to what Xiaohui just mentioned and explain the finance perspective. He mentioned that content investment for -- content cost from the financial perspective. And then we believe for this aspect, it will remain stable with marginal increase. Over the past year and also including the Q1 in 2023, we can see the portion of our original content has been increasing steadily and it's been the main driver of high-quality growth over the past period. And right now, because the original content proportion is relatively at a high percentage. So we anticipate going forward, the percentage of this will be relatively stable. For our original content especially now we are entering into a very high-quality stage. And then we have deployed very systematic content launch schedule. So because of this, we can launch the content more at ease and more on our own pace. And for now, we have a full system from producing the original content to broadcasting. And this is a very systematic programmatic approach in managing our original content. So our funding is relatively stable and our need for capital is relatively stable as well. From the financial aspects, we anticipate to see the continued performance of the above mentioned two points going forward.
Operator: Your next question comes from Lincoln Kong from Goldman Sachs.
Lincoln Kong: The question is about the competition. So how do we see the competition landscape has changed or evolved in the current market. And over the next 2 to 3 years, we expect any of the other peers will increase their investment in order to grab more market share in the space? And how do iQIYI can maintain the competitive edge in the industry?
Yu Gong: We have been maintaining our market leadership for the past period. And right now, we think the entire long-form video industry has gone through a structural change over the past period. The irrational investment style and the wild growth is no longer applicable. And our goal is to pursue profitability and the high-quality growth. This is also the consensus of the entire industry and we all think is very key indicator. In our 13 years of history, we have never been the most deep pocket player in the market. So we actually put more focus into original content and we have seen very promising results and have seen excellent results of this as we have maintained a definite market leadership on this front and have built a competitive strength on this area. And going forward, we will continue to enforce our competitive strength to ensure our leadership over the long run. So we also utilize technology to improve our overall content production process, for example, from the screening script to invitation to incubation to actually content launch and entire cycle of the original production can be covered through our technology-driven tools. And using these tools we can largely manage, also forecast our original content. So in order to secure very stable supply of our original content and also to increase the likelihood of blockbuster content going forward. And also in the meantime, we will also utilize AIGC to improve our production efficiency and to improve our overall original content quality to also decrease the content cost of that. So going forward, these are the tools and technology that we use to enforce our market leadership position.
Operator: Your next question comes from Daniel Chen with JPMorgan.
Qi Chen: So my question is related to the membership business. So could management provide some color on the outlook of the subscriber number in the second quarter and also longer term. Also, what -- how should we think about the overall growth for the membership service in this year and longer term? And also, what's our major strategy for membership business in 2023.
Youqiao Duan: Our Senior Vice President of Membership Business, Youqiao Duan, is answering this question. So for Q1, driven by strong original content, the Q1 membership services revenue and subscriber base both hit record highs. It is expected that the Q2 membership services revenue and subscriber base will still have great year-on-year growth. And we have estimated that for Q2, the sub base and the revenue will be the best-performing second quarter in our history. From the quarter-on-quarter perspective, it is expected that the sub base and revenue in Q2 will have some sequential dip, mainly reflecting the seasonal pattern after the Chinese New Year holiday. But overall, we remain optimistic at the subscriber base and revenue outlook for this year, mainly because of the 2 factors I will be mentioning. The first reason is we are still very confident about the company's headlines and the content launch schedule for this year, especially during major windows such as summer vacations. Our highly efficient content production mechanism, strong operating and technical capability and also the top talent will entail us to steadily grow the number of high-quality content compared to last year. The second factor is we are seeing the proportion of annual subscribers increase significantly year-on-year. Although it might not have the short-term uplift effect on ARM, but the long-term benefit is significant as it represents longer and closer relationship with our subscribers and this will drive the annual and also improve the annual revenue performance and also improve the cash flow healthiness. And also the second point is the lifetime value and the long-term retention rate of our various membership packages have also increased; and also that we saw strong growth from both subscribers with large screen privileges and also iQIYI Lite ad-supported basic subscriber packages. The main strategy for our membership business this year is to reach high-quality growth which means maximizing user experience and in return, strengthen our subscriber base, LTV and also ARM.
Operator: The next question comes from Alicia Yap with Citigroup.
Alicia Yap: Can management share with us what is your view of brand advertising outlook this year? And what is the ad demand for each major stock vertical industry look like. In addition, wondering if you have seen any meaningful difference in terms of demand sentiment between brand ads and performance ads.
Yu Gong: I will talk about brand ads and performance ads separately. So for brand advertising, the performance of that is very closely correlated with the macroeconomics development. And we are seeing the overall ad market will recover with gradual recovery of China's economy, especially the post-COVID period but the reflection in the advertising market will lag by 1 or 2 quarters. Actually, after April, we are seeing gradual recovery of brand advertising and we are still very cautiously optimistic about the overall brand advertising market for this year. And in the first half of the year, the consumption is still gradually recovering. So we expect to see more evidence of recovery in the second half of this year. And -- so overall, we are very confident -- still very confident in the long-term development of the brand advertising market as iQIYI is one of the platforms with the highest user quality, the strongest willingness and ability to pay in the China's Internet industry which can effectively help advertisers to enhance the brand influence and sales conversion. Looking at the subsectors, the FMCG, retail travel, entertainment and also health industry have recovered the fastest so far. As Q2 is the peak season for FMCG and food and beverages and toiletries industry. So we expect Q2 should have positive growth, both annually and sequentially. At the same time, Q2 also has key marketing campaigns such as June 18. So the ad budget of some e-commerce platforms should also expect to see some increase to some extent. We are optimistic about the long-term prospects of the new energy vehicle sector and also the home furnishing sector. The performance ad market will gradually recover in 2023 with moderate recovery in Q2 in the domestic market and especially for iQIYI, in particular because we have optimized our algorithm and also to increase our sales efforts. So our Q1, our quarter performance were actually above the market industry. And also looking into the future quarters, we expect to see strong growth in Q3 as well. Overall, the performance ad market is in currently showing pretty big budget growth in the areas such as online services, game launches, e-commerce, travel and localized stuff.
Operator: I'll now hand the conference back to Ms. Yu for closing remarks. Over to you, ma'am.
Chang You: Thank you. And please note that the previous discussion on Q2 is forward-looking and only represent our current view based on current data points. And I would like to thank again for everyone's participation on the call today and please do not hesitate to contact us if you have further questions. Thank you, everyone and we'll see you next quarter.
Yu Gong: Thank you.
Chang You: Thank you.
Jun Wang: Thank you. Bye, bye.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.